Operator: Good afternoon and welcome to the Medifast Second Quarter 2021 Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions] After today's presentation there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Reed Anderson of ICR. Please go ahead.
Reed Anderson: Good afternoon, and welcome to Medifast's second quarter 2021 earnings conference call. On the call with me today are Dan Chard, Chairman and Chief Executive Officer; and Jim Maloney, Chief Financial Officer. By now, everyone should have access to the earnings release for the period ended June 30, 2021, that went out this afternoon at approximately 4:05 pm Eastern Time. If you have not received the release, it is available on the Investor Relations portion of Medifast's website at www.medifastinc.com. This call is being webcast, and a replay will be available on the Company's website. Before we begin, we would like to remind everyone that the prepared remarks contain forward-looking statements and management may make additional forward-looking statements in response to your questions. The words believe, expect, anticipate and other similar expressions generally identify forward-looking statements. These statements do not guarantee future performance, and therefore, undue reliance should not be placed upon them. Actual results could differ materially from those projected in any forward-looking statements. Medifast assumes no obligation to update any forward-looking projections that may be made in today's release or call. All of the forward-looking statements contained herein speak only as of the date of this call. And with that, I would like to turn the call over to Medifast's, Chairman and Chief Executive Officer, Dan Chard.
Dan Chard: Thank you, Reed and good afternoon to everyone who's joined. Thanks for taking time to be with us today. On the call with me today is Jim Maloney, our Chief Financial Officer. I'm going to provide a brief overview of the second quarter then Jim will run through our financial results in more detail. Following our prepared remarks, we will open up the call to take your questions. Our second quarter results were very strong building on the momentum we experienced in the first quarter. The results reflected our strong performance in attracting and retaining coaches and empowering them with a unique infrastructure and education to help them be as effective and productive as possible to attracting and supporting clients. Revenue increased 79% to $394 million in the quarter, driven by growth in the number of independent OPTAVIA Coaches coupled with further improvements in coach productivity. The number of active earning OPTAVIA Coaches reached approximately 59,200 at the end of the second quarter, a record high that is 62% above the same quarter last year, and up nearly 13% sequentially. Revenue per active earning OPTAVIA Coach was $6,662 another new record, up nearly 14% versus last year, and 3% sequentially. The continued productivity gains we are seeing has been fueled by the development of infrastructure and education that help coaches learn how to support a greater number of clients that has historically been possible. This field led training approach leverages social media and communication technology platforms to engage clients, and support and train coaches. We've been investing substantially in technology and digital processes, with an emphasis on creating unique infrastructure and education to help OPTAVIA Coaches leverage their time and talents to efficiently serve clients. While it's still very early, we can already see the benefits from these efforts based on the strong trends in coach level productivity. Our digital product teams have been developing two apps. The first is the OPTAVIA app, which primarily targets clients and features Lean And Green Recipes, self-service options related to OPTAVIA premier orders and returns and other key information to stay engaged. The OPTAVIA app went live in April for coaches and then July for clients. The second is the Connect app, which is for coaches on the go who needs data and insights to help them manage their business efficiently. The beta version of the Connect app went live in April, and is currently being utilized by nearly a third of coaches with a broader rollout expected over the balance of the year. In addition to our proprietary apps OPTAVIA Coaches continue to refine their social media and other communication platforms to manage their business to drive deeper connections to serve existing customers and to attract new clients. It's clear that interest in health and wellness across the board continues to be extremely strong. A recent study of consumer health priorities and motivators commissioned by Medifast found that 93% of US adults have health and wellness goals and 84% are actively working towards achieving them. Two thirds of Americans say the biggest motivator for staying consistent with health and wellness goals is feeling good mentally and physically defined by having more energy and reducing stress and anxiety. OPTAVIAs unique model has proven effectiveness in helping people achieve their individual goals around health and wellness. And the resonance of this model is demonstrated clearly in the results we've announced today. As we drive further demand through a growing number of coaches, it's important that we continue to develop our supply chain capabilities to be able to meet the needs of the field. We achieved our $2 billion manufacturing capacity target in the second quarter, six months ahead of the original goal through the expansion of our relationships with co-manufacturers. Given our growth, trajectory and outlook for the future, this additional capacity is crucial to meeting the needs of our coaches and clients as well as continuing to deliver strong returns for shareholders. Scaling our fulfillment capacity to an equivalent level is also in process with an expected completion date in the third quarter of this year, three months ahead of the original goal. We added an internally managed fulfillment center in April of 2021, and forge partnerships with 3PL companies to ensure that we are able to efficiently move everything through our supply chain network. There were no promotions in the quarter as the strength of our coach based model and field led training continues to drive strong engagement and activation. Importantly, since we were lapping the essential start promotion from last year's second quarter, the absence of promotion provided a nice lift to gross margins, which improved by 210 basis points from the same quarter last year. This underscores a key differentiator with our model versus other direct selling models. That is that we focus on empowering coaches to serve clients by educating them on the habits of health system using a holistic community based approach to help them transform their lives one healthy habit at a time. Looking at the third quarter we will repeat our business builder program and expect this to further grow the number of OPTAVIA Coaches helping our business as we move ahead into 2022. Last week, we concluded our biggest ever annual convention, which was held in the new hybrid format and saw more than 15,000 local registrants. Because the 2020 event was modified to be virtual only due to the global pandemic by partnering with the Georgia World Congress Centre in Atlanta, and following statewide COVID-19 safety regulations for the in-person experience. We also offered a live stream component for attendees who participated from home. Attendees experience valuable coach led educational sessions, panel discussions and company updates along with celebrations of their success in transforming lives around the world. This year's event also placed an increased focus on community engagement, and team building following the 2020 virtual event. We believe OPTAVIAs unique offer complete with the support of a coach community habits of health transformation system and our clinically proven plans and scientifically developed OPTAVIA brand nutritional products provides a holistic solution to consumers need to make their health goals a reality. Before turning the call over to Jim, I want to share some comments on corporate social responsibility. We continue to join forces with the OPTAVIA community to support our philanthropic initiative, healthy habits for all, which empowers generations through education and access to healthy habits. As part of 2021 convention registration and outside donation opportunities, the OPTAVIA community gave back through the company's philanthropic initiative healthy habits for all. This coach led fundraising initiative raised over $100,000 of worthy nonprofits in advance the company's mission of providing children with education and access to resources that support healthy habits. To date, alongside with our OPTAVIA community the company has funded up to 8 million nutritious meals for children facing hunger. Medifast's commitment to lifelong transformation is not just the result of the work our OPTAVIA Coaches do, but also a result of our active support of the communities in which we live and work. Let me now turn the call over to Jim Maloney who will walk us through the financial results. Jim?
Jim Maloney: Thank you, Dan. Good afternoon everyone. Revenue in the second quarter of 2021 increased 79.2% to $394.2 million from $220 million in the second quarter of 2020, reflecting continued growth in the number of active earning OPTAVIA Coaches and higher per coach productivity, which resulted in more clients participating in our optimal weight five in one plan. We achieved another record for active earning OPTAVIA Coaches ending the quarter with approximately 59,200, generating sequential growth of 12.8% compared to Q1 and an increase of 62.2% from last year's second quarter. Average revenue per active earning OPTAVIA Coach for the second quarter was $6,662, setting another record and up 3.2% from the prior high that just last quarter. Versus a year ago, revenue per active earning OPTAVIA Coach was up 13.9%. Gains in productivity per active earning OPTAVIA Coach for the quarter continue to be driven by an increase in both the number of clients supported by each coach as well as an increase in average client spend. The growth we're seeing in new coaches and in curve coach productivity is closely related to our approach to better leverage this field lead coach training in social media and communication technology platforms. Gross profit for the second quarter of 2021 increased 84.4% to $293.7 million compared to $159.3 million in the prior year period. Gross profit as a percentage of revenue was 74.5%, up 210 basis points compared to 72.4% in the second quarter of 2020. We did not offer any promotions during the second quarter as we lapped the essential start promotion from last year, and that was the primary factor that drove the year-over-year improvement in gross margin. With the anticipated acceleration in demand of OPTAVIA branded products, we expect pressure on gross profit margin through the remainder of 2021 due to the planned higher level of use of co-manufacturers. Additionally, we are seeing higher levels of inflation in raw ingredients, freight and labor costs that will add pressure to our gross profit margin for the second half of 2021. To protect our overall profit margins in the short-term, we will continue to focus and manage our costs, while investing in supply chain and technology for our long-term growth objectives. We believe gross profit margin as a percentage of revenue will improve in the longer term as we develop pricing strategies, enhance our distribution network, reduce freight costs by shortening shipping lanes, and gain productivity improvements in our supply chain processes as we scale our business. SG&A for the second quarter of 2021 increased 77% to $232.3 million, compared to $131.2 million for the second quarter of 2020. The increase was primarily due to higher OPTAVIA commissions, increased salary and benefit related expenses for employees, increased consulting costs related to technology projects and increased credit card fees resulting from higher sales. SG&A as a percentage of revenue decreased 70 basis points year-over-year to 58.9% versus 59.6% in the second quarter of 2020. Income from operations increased $33.3 million to $61.4 million from $28.1 million in the prior year period, reflecting significant improvement in gross profit margin coupled with leverage of SG&A expenses. Income from operations as a percentage of revenue was 15.6% for the quarter, an increase of 280 basis points from the year ago period. The effective tax rate was 23.4% for the second quarter of 2021 compared to 22.1% in last year's second quarter. Net income in the second quarter of 2021 was $47 million or $3.96 per diluted share, based on approximately 11.9 million shares of common stock outstanding. This compares to net income of $21.9 million, or $1.86 per diluted share based on approximately 11.8 million shares of common stock outstanding in last year's second quarter. Our balance sheet remains very strong with cash, cash equivalents and investment securities of $197.4 million as of June 30, 2021, compared to $174.5 million at December 31, 2020. The company remains free of interest bearing debt and believes it is well positioned to execute its growth strategy. On the first quarter call, I provided additional detail around our capital allocation priorities and discussed that we expect higher levels of capital expenditures over the next 24 months to expand our technology and supply chain capabilities. Additionally, we expect that stock repurchase was going to increase relative to our dividend. To that end during the second quarter we repurchased $12.2 million of stock, which is up from $7.5 million of repurchase activity in the first quarter, bringing our year-to-date total to $19.7 million through the first half of 2021. Given our strong financial condition, expectations for future cash flow growth, and the relative evaluation of our stock, we anticipate continuing to prioritize buybacks as a means of adding value for shareholders in the foreseeable future. Finally, in June 2021, our Board of Directors declared a quarterly cash dividend of $16.9 million or $1.42. per share, which is payable on August 6. Turning to our guidance, which we reinstated last quarter, for the full year 2021, we expect revenue in the range of 1.425 billion to 1.525 billion and diluted EPS to be in the range of $12.70 to $14.17. Our guidance also assumes a 23.25% to 24.25% effective tax rate. As discussed, we are expecting pressure on gross profit margin in the second half of 2021 due to the increased levels of use of co-manufacturers in the coming months to meet the accelerated demand in OPTAVIA branded products and due to inflation factors. In Q3 this year, we successfully returned to an in-person convention that will increase SG&A expenses in Q3. Finally, in Q3, we will be repeating our business builder program and expect this to further grow the number of independent OPTAVIA Coaches and help our business as we head into 2022. The business builder program will be recorded in SG&A expenses in Q3. In closing second quarter results were strong. And we remain confident in our business model and are well positioned to capitalize on the opportunities that lie ahead. With that, let me turn the call over for questions. Operator?
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question comes from Chris Neamonitis with Jefferies. Please go ahead.
Chris Neamonitis: Hey, everyone. First off, congrats on another strong growth quarter. I just wanted to hit on the guide here. Just looking at the high end of the guide on revenue would imply sort of a flattish level of sales relative to this quarter. So wondering if you could help us think about what the sort of hold up maybe as in keeping the quarter-over-quarter momentum going on the top line and why the guide doesn't call for a continued step up? Is it - this just kind of really just seasonality or conservatism? Or is there a near term supply constraint that we should be considering relative to the strong demand?
Jim Maloney: Yeah. So Chris thanks for your question. When you look at the guide itself on the top line - when you look at the top line end of it, we raised it 50 million for the year. As we mentioned in our notes, we mentioned that we're looking solid regarding our supply chain. So Dan mentioned that we hit the $2 billion mark or target for manufacturing, which was six months ahead of schedule and in Q3, which is three months earlier, we should be able to do the same thing in fulfillment. So we're not seeing any constraints. And I think we're on the path having no disruption in those units.
Chris Neamonitis: Great and then my second one would just be on productivity per coach, obviously, extremely strong in the quarter. But with kind of the reimplementation of the business builder program, should we expect that to maybe trend down or remain kind of slightly flattish through the back end of the year? I'm just thinking kind of the inherent drag from a mix of bringing on newer coaches that would obviously have less clients.
Dan Chard: Yeah, Chris, this is Dan. As you know, we don't give guidance around the productivity number, but we do talk about what our philosophy is, so our focuses on building tools and programs that enhance the productivity of our coaches allowing them to support an increasing number of clients. And that's what's driven the productivity number over the last several years. So we don't anticipate that anything we're doing would cause a diminished productivity per coach, including the business builder promotion.
Chris Neamonitis: That's great, thank you. And then my last one and I'll hop back in the queue. Maybe I'm just wondering about kind of the puts and takes around the retroactive implementation of the business builder program. Maybe if you could tell us why you thought it was important to back date the start of it to July one.
Dan Chard: Sure, this is the third year we've run the business builder promotion. And so we ran in 2019, last year in the same period and now again this year. Each year, we focus on taking the learnings from the prior year and in some cases enhancing or adjusting to reflect new learning. So in this case, we felt like there was some ways to make it more effective and more efficient by pulling in coaches who were new coaches in the July period, again, anticipating that we can make it into an even more meaningful part of the overall program as we go forward. This is one of those repeatable promotions that we have been using to enhance the back half of our year. The full focus is taking the period of August, September and October and rewarding the client attraction activities that takes place with our coaches, as well as rewarding the training of new coaches as we head into the holiday period. It's also I think, as you pointed out important for us to make sure that our mix of new clients, new coaches and tenure is optimal as we head into fourth quarter because that's a tailwind if you will, as we head into the first quarter. So those were all the objectives trying to again reflect on what we learned over the previous two years and finding ways to continuously improve.
Chris Neamonitis: That's great, thank you and congrats again.
Dan Chard: Thank you.
Operator: [Operator Instructions] The next question comes from Doug Lane with Lane Research. Please go ahead.
Doug Lane: Yes. Hi, good afternoon, everybody. Jim staying on the guidance here is it safe to say that $25 million to $50 million increase on your revenue range was mostly due to 2Q upside, whereas the EPS range staying very close to what it was is due to increased gross margin pressures that you've seen since you last gave your guidance back in May.
Jim Maloney: Yeah, I mean, we did have a very strong quarter. We believe the growth will continue over the coming quarters. We raised the guidance. If you look at the midpoint, we raised it about 37 million in the top end, we raised it 50 million. We also raised the guidance for EPS, but not to the same degree as you mentioned. And it really comes down to looking at the accelerated growth we've had over the months. The use of co-manufacturers and the inflation that we're seeing has not provided as much leverage to our P&L, as you would think. Also, when you look at the back half of the year, the convention costs are going to be recorded in Q3. And then also the business builder, as we mentioned, will be recorded in Q3.
Doug Lane: And in years past, you had the leadership, the ILAT driven update on whether you'll be accruing for that for next year? Or is that - have you moved on from that?
Jim Maloney: Yeah, I mean, we're about - we evaluate those types of things each and every year. There hasn't been a decision made on that at this point. But we're always looking to see if we can make enhancements to add to coach productivity. So we're always looking at programs and making determinations. But as of right now, we haven't made a determination.
Doug Lane: Okay, fair enough. And then on inventories, they were up pretty substantially, sequentially up about 50%. And I just wanted to put that into some sort of context. Given that you had such a rapid increase in demand, and you've had supply chain constraints, if you will, is this inventory, build a step towards alleviating some of these constraints?
Jim Maloney: Yeah, so our inventory days since March increased about 25%. And it's really - if you can recall back last October, November timeframe, we were talking about intentionally stocking out certain SKUs, the lower volume SKUs and the increase - we've always had a plan to increase the number of inventory days, so we can reduce the amount of stock outs in the future. So that's what you're seeing in our balance sheet.
Doug Lane: Okay, that makes sense. And just lastly, Dan, we talked about the increased coach and coach productivity, and that you're obviously seeing good interest in becoming coaches among your newer cohorts here, but can you just give us sort of a qualitative assessment on how the leadership ranks are filling out? Are they moving up in leadership ranks at a normal kind of pace?
Dan Chard: Yeah, they are, the progression through leadership ranks has been very healthy. And what we're seeing from a productivity standpoint is a reflection of the continued improvement in how our coaches are using social media and other communication platforms and other technical technology space to extend our reach. We've also, as I mentioned in the earnings script earlier, have launched two new apps to help them as well. So all of our investments, as we look at them, are looked at the - we look through the lens of how do we make our coaches more efficient and more effective at attracting, supporting new clients and also sponsoring and training new coaches. So those are kind of the four competencies. And as we help support those four activities that's what we - the outcome of that is improved coach productivity. So there's a - we keep finding new and effective ways to help support and make that happen, which is what you're seeing with that number increasing.
Doug Lane: Okay, thank you.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Dan Chard for any closing remarks.
Dan Chard: I like to thank everybody for joining in particular let any OPTAVIA Coaches who have joined and let us know - let them know how much we appreciate their efforts to deliver the strong quarter and as well as all of our investor base. And we look forward to speaking with all of you again soon.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.